Operator: Good day, and welcome to the Philip Morris International Second Quarter 2011 Earnings Conference Call. [Operator Instructions] I will now turn the call over to Mr. Nick Rolli, Vice President of Investor Relations and Financial Communications. Please go ahead, sir.
Nicholas Rolli: Welcome. Thank you for joining us. Earlier today, we issued a news release containing detailed information on our 2011 second quarter results. You may access the release on our website at www.pmi.com. During our call today, we will be talking about results for the second quarter 2011 and comparing them with the same period in 2010 unless otherwise stated. References to PMI volumes are for PMI shipments. Industry volume and market shares are the latest data available from a number of internal and external sources. Organic volume refers to volume excluding acquisitions. Net revenues exclude excise taxes. Operating companies income or OCI is defined as operating income before general corporate expenses and the amortization of intangibles. You will find data tables showing how we made adjustments to net revenues and OCI for currency, acquisitions, asset impairment, exit and other costs, free cash flow calculations and adjustments to earnings per share or EPS, as well as reconciliations to U.S. GAAP measures at the end of today's webcast slides, which are posted on our website. Today's remarks contain forward-looking statements and projections of future results, and I direct your attention to the forward-looking and cautionary statements disclosure in today's presentation and news release for a review of the various factors that could cause actual results to differ materially from projections. It's now my pleasure to introduce Hermann Waldemer, Chief Financial Officer. Hermann?
Hermann Waldemer: Welcome, ladies and gentlemen. We reported another very strong performance during the second quarter. We achieved stable organic cigarette volumes. Net revenues, excluding currency and acquisitions, grew by a strong 10.1%. Adjusted OCI excluding currency and acquisition surged 16.5%, and adjusted diluted EPS were 21% above the prior year's level excluding currency. These excellent results can be attributed in particular to the Asia region with Indonesia, Japan, Korea and the Philippines all performing very strongly and higher prices in a wide range of markets. During the second quarter, our pricing variance reached $617 million for a total of $1.1 billion during the first half of the year. In the last 3 months, we implemented or announced price increases in markets such as Nigeria, Argentina, Australia, Canada, Egypt, Germany, Italy, The Netherlands, Russia and Saudi Arabia, thus reinforcing our strong pricing momentum. Furthermore, the pricing situation in Spain improved in July. We also have strong overall business momentum. Our share in the second quarter for our top 30 OCI markets was up 2.3 points to 38.5%. Marlboro had stable volume in the quarter on a global PMI basis as higher volume in the Asia and EEMA regions offset the impact of lower industry volume in the EU and Latin America and Canada regions. The brand share was up for stable in all 4 regions and its global share, excluding China and the U.S.A, grew by 0.4 points to 9.3%. During the second quarter, L&M, our second largest brand, increased its volume by 3.1%, accelerating its growth in the EU region and part of the EEMA region. These results were achieved by strong share growth in a wide range of markets including Egypt, Germany, The Netherlands, Poland, Slovakia and Turkey. In light of our excellent results, strong pricing and good share in business momentum going into the second half of the year as well as a more favorable currency outlook at prevailing exchange rates, we announced today a further $0.15 increase in our reported diluted EPS guidance for 2011. $0.10 of the increased guidance relate to the business, the improvement being largely attributable to Japan. $0.05 relate to currency which have been noted that exchange rates may still experience some volatility over the balance of the year. The new guidance range is $4.70 to $4.80. Compared to our adjusted diluted EPS of $3.87 in 2010, this corresponds to an increase of approximately 21.5% to 24% at prevailing exchange rates and approximately 15% to 17.5% excluding currency. Our excellent results in the first half and our favorable outlook for the second half of 2011 demonstrate the benefits of our global footprint and highlight our success with attractive acquisitions and organic volume growth over the last 10 years in Asia, the half of the world population lives. Our strong results in the second quarter reflect the strength of our management teams in these markets and especially in Japan, where I took the calculated risk to commit around $100 million in airfreight when the extent of the additional demand for our brands was still difficult to judge. Our efficient yet flexible global manufacturing footprint and effective market response enabled us to fill the void caused by the shortage of JT and more recently BAT products. In the second quarter, net revenues in the Asia region grew by 27.7% excluding currency and acquisitions and adjusted OCI was 48.2% higher on the same basis. As a result, the region is now our largest contributor to these measures, accounting for 35% and 36%, respectively, of PMI's net revenues and adjusted OCI during the first half of this year. And this contribution is expected to increase further as our business in the region continues to expand. During the second quarter, PMI shipments to Japan reached 19.5 billion units, up 1.9 billion or 11% compared to the same period last year. This increase was achieved despite the unfavorable impact of the large October 2010 tax-driven price increases and the boost to our shipments that occurred in the second quarter of last year ahead of that increase. Our market share has reached 42%, 17.7% points above the prior year level and 16.4 points above our share in the first quarter of 2011. As we ensured full product availability throughout the period, all our brands gained share and in particular, Lark and Marlboro. Determining exactly how the rest of the year will pan out remains very difficult due to the complex interaction of multiple factors. These include the impact of the tax-driven price increase in October last year, the consumer and trade's prior year loading and subsequent deloading patterns, the underlying market decline trend, the price of elasticity and whether it will diminish over time, the disruption of JT supplies and shortages of certain BAT products, the precise impact of our efficient response, and our level of smoker share retention once the full range of competitive products are available. The new trend for industry volume and the new base for PMI's future market share growth will not be clear until the fourth quarter of this year at the earliest. Our business is also doing very well in Indonesia. Thanks to a strong economy and a favorable comparison with a relatively soft second quarter 2010, industry volume grew an exceptional 13.9% in the second quarter of this year. For the full year, we expect the annual growth rate to be in the range of 4% to 6%. Our volume in the quarter was up by 20.7% to 22.6 billion units and our market share grew by 1.6 points to 30.2% with all our Kretek brands gaining or maintaining market share and Marlboro increasing its volume and its share within the wide Cigarette segment despite a reduction in its overall market share. The growing volume, along with continual moderate price increases, is driving strong profitability growth in Asia's second-largest cigarette market after China. In Korea, we continue to achieve strong volume and share growth behind Marlboro and Parliament. Our market share grew by 3.3 points to 19.9% in the quarter with a 1 share point contribution from innovative Marlboro Menthol line extensions. Korea is one of the few key markets worldwide where we have not increased retail prices in the past year in light of the more important need to secure excise tax reform for the long term. PMI's organic volume in the EEMA region declined by 3.4% in the second quarter due primarily to Ukraine. For the full year, we expect our volume to be stable in the region. Net revenues were up 3.6% during Q2 excluding currency and acquisitions. Adjusted OCI was 4.8% higher excluding currency and acquisition driven primarily by increased volumes in Turkey and North Africa, and higher prices across many markets, in particular Russia. This was partly offset by lower volumes in Eastern Europe and additional investments in business building initiatives in Russia. These investments will further boost the momentum of Parliament, Chesterfield and Bond Street in Russia while addressing the issues surrounding Marlboro. These efforts will, however, take some time to have a measurable impact on our market share, which declined by 0.1 point to 25.4% in the second quarter through the end of May due mainly to a temporary price disadvantage to competitive products. At the beginning of this month, we announced to the trade a further price increase of RUB 3 on Marlboro and RUB 2 on average across the rest of our portfolio. Our lowest price in the market will now be RUB 21 a pack for Optima, up 27% from a year ago. These price increases, along with lower disposable incomes as wage increases have failed to keep pace with inflation, are limiting the extent of consumer uptrading. Industry volume meanwhile is expected to decline at an annualized rate of some 2% to 3% this year in line with 2010. Earlier this month, the Russian government approved its tax policy guidelines or TPG for the period 2012 through 2014, including a detailed 3-year excise tax development plan for tobacco products. The TPG foresees that excise taxes will be indexed periodically in line with inflation and economy conditions in Russia. In addition to the excise tax increases already foreseen for January 2012 in the current law, the TPG calls for an additional increase in July 2012 of 8.3% in the specific element to RUB 390 per thousand and 10.9% in the minimum excise tax to RUB 510 per thousand. While the proposed increases are significant, we believe they should be manageable. It should, however, be highlighted that this is the first step in the process and that the plan needs to be submitted to the Duma and the Federation council for approval. The final adoption of the law is not expected to take place until November this year. In Ukraine, the estimated 15% decline in industry volume in the second quarter masks an improving underlying trend as the data is distorted by the heavy trade loading that took place in the same period last year ahead of tax-driven price increases. We expect the market to stabilize during the second half of the year. The Ukrainian market is tending to polarize with the premium and the super-low price segments both expanding while several small manufacturers and illicit trade continue to grow volume. PMI's market share was down 3.5 points in the quarter to 32.1% as we are under-represented in the super-low price segment. We have reduced the price gap between Bond Street and the bottom of the market to address this issue. Meanwhile, both Parliament and Marlboro are performing well and increased their market share during the quarter. Overall, the Turkish market has now stabilized. Our volume grew by 12.1% in the second quarter though it remains below the levels prior to the tax increase of January 2010. Our market share reached 44.6% in the quarter through the end of May, up 3.8 points. This impressive share improvement covers all 3 price segments and is led by Premium Parliament, mid-priced Muratti and low-priced L&M. Despite the issues that continue to impact Spain and to a lesser extent, Greece, the results in the EU region in the second quarter were more positive from a number of standpoints. Industry volume declined by a modest 1.7% and was actually up in markets such as the Czech Republic, France and Germany. PMI volume was 3.1% lower due to an 8.4% decline in Greece, a 17.6% reduction in Spain, and a decrease of 9.7% in Poland, where we should share [ph] at the lowest and least profitable end of the market. Our key brands, Marlboro and L&M, performed well. Marlboro's regional share was stable at 18.1% and L&M's share grew at the further 0.3 point to 6.6%. Net revenues and adjusted OCI were up 0.7% and 2.3%, respectively, excluding currency and acquisitions. While we are not entirely satisfied with the situation, there are some clear signs for renewed optimism concerning the future contribution of the EU region to PMI's profitability growth going forward. Germany has again become one of the strongest tobacco markets in the EU. During the first half of the year, industry volume was up 1.9% for cigarettes and 4.8% for fine cut. PMI increased its market share by 0.3 and 0.4 points to 35.9% and 14.8%, respectively, during this period. L&M continues to perform very strongly, gaining a further 1 share point in the second quarter to reach a cigarette share of 10.4%. Unit margin-enhancing price increases have been implemented. Our remaining concern is the growth of discounted larger pack sizes while the market share of big packs, defined as 22 to 25 cigarettes per pack, appears to have stabilized the share of maxi packs, that is packs with over 26 cigarettes, continues to increase and may receive a boost from the recent introduction of packs of 40 cigarettes. The Spanish economy continues to suffer from high unemployment levels with few signs of improvement. Consequently, cigarette industry volumes has been contracting at double digit rates, and consumers have been downtrading to cheaper brands and illicit trade products. This is a special context in which price competition was exacerbated in May and June this year. However, recent developments indicate the situation has improved. Industry volume increased 1.8% in France and was stable in Italy during the second quarter. Our cigarette market share was up slightly in France to 40.9% as the continued growth of the Philip Morris brand also positioned in the Premium segment more than offset the slight decline of Marlboro share. At the same time, following the entry of Marlboro into the category, we also became the market leader in fine cut with a quarterly share of 25%, up 5.6 points. Our market share in Italy was down 0.7 points to 53.4% with Marlboro down 0.3 points. This was attributable to the relative decline of the Premium segment, where PMI has a 95% share. Our profitability, however, continue to improve in both markets with high single-digit increases in the quarter. Furthermore, we recently announced a EUR 0.10 price increase across our portfolio in Italy. After increasing the specific to total [ph] component in its excise tax last December, earlier this month, the Greek government increased the minimum excise tax from 75% to 100% of the excise tax levied on the weighted average price. This implies a pass-on of nearly EUR 0.50 per 20 cigarettes at the very bottom end of the market, where cigarettes retail at EUR 2.40. PMI has announced an increase in the price of its main low-priced brand, L&M 25s, from EUR 3.20 to EUR 3.70 per pack. The reduction in price gaps should help the continued recovery of Marlboro's market share in Greece. Our volume in the Latin America and Canada region was 4.8% lower in the quarter, driven by a double-digit market contraction in Mexico, following the large tax-driven price increases at the end of last year and by the timing of shipments in Brazil. Despite the challenging pricing environment, our market share in Mexico reached 72.2%, with Marlboro surging 3.8 points to reach a 52% share. Our business in Argentina performed very well with volume growth of over 8% and gains from Marlboro which added 0.6 point to reach a 24% market share. Net revenues for the region increased by 5.8% in the quarter, excluding currency and acquisitions, and adjusted OCI was 8.8% higher on the same basis. On the regulatory front, the main focus remains on plain packaging. Although certain other governments have expressed their opposition to such a measure, the Australian government continues to appear intent on mandating the implementation of plain packaging in 2010 and has submitted a proposed bill to Parliament. Plain packaging will result in the illegal confiscation of our very valuable trademarks and branded assets in violation of international trade laws and treaties. We have therefore served notice of our intention to file an arbitration claim against the Australian government under the Hong Kong-Australia Bilateral Investment Treaty. We are now in a mandatory 3-month period set aside for negotiation under this procedure. Consequently, we have written to the government seeking a meeting. Strong pricing and very moderate increases in tobacco and non-tobacco material costs as well as our continued focus on productivity improvements resulted in a 2.5 point increase in PMI's adjusted OCI margins, excluding currency and acquisitions during the second quarter. Our free cash flow increased by $638 million or 19.4% in the quarter to $3.9 billion. Excluding currency, the increase was $402 million or 12.2%. The increase was driven mainly by our excellent business results. During the first half of the year, our free cash flow was up more than $1 billion to nearly $6.2 billion. During the second quarter, we spent $1.5 billion to repurchase 22.7 million shares at an average price of $68.32. Since the March 2008 spin, we have now repurchased 17.9% of the shares outstanding at that time. In conclusion, PMI had an excellent quarter. Our adjusted diluted EPS growth reached 21%, excluding currency. Our outlook is promising with strong market share and business momentum. Pricing remains a very strong driver of profitability, with Spain being a special case. We are not under any significant input cost pressures and expect to exceed our annual productivity savings target of $250 million this year. We have increased our 2011 EPS guidance by a further $0.15, bringing it to a range of $4.70 to $4.80. Compared to an adjusted diluted EPS of $3.87 in 2010, this corresponds to an increase of approximately 21.5% to 24% at prevailing exchange rates and approximately 15% to 17.5%, excluding currency. And finally and most importantly, our cash flow continues to grow and be our focus on generously rewarding our shareholders through dividends and share repurchases. Thank you. I will now be happy to answer your questions.
Operator: [Operator Instructions] Our first question comes from Chris Growe of Stifel, Nicolaus.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: I want to ask you 2 questions. One would be as we're looking at and doing some modeling around the price realization for the year, you talked about being able to sort of beat the level of pricing last year and just hearing some of your comments and some of the recent price increases from Russia to Italy as well as the pricing that came through this quarter, my estimate suggests you're going to pretty meaningfully outpace that unless I'm not factoring maybe some second half factors. Is there anything that we should keep in mind there in relation to the dollar amount of pricing coming through this year?
Hermann Waldemer: Well, I would say -- as you say, I mean, if you look at the numbers year-to-date, June, $1.1 billion for the half year versus actually $1.7 billion for the full year of 2010 last year. I think these numbers speak for themselves. You were quoting a number of markets where we recently have implemented or announced price increases. That's correct. At this point of the year, I think it would be inappropriate to go into further details because any comment I would make could be interpreted or linked to a specific market. So bear with me, I think it's better if I stop it there.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Sure, understood. And then my follow-up question is to be in relation to Japan. And I'm just trying to get a sense especially in this quarter. There's a lot of moving pieces, I realize, particularly the year ago increase in inventory. But I'm just trying to understand if you get a sense of where you think you stand today in your inventory position in Japan. Is there any rebuilding that needs to occur given the lag you had in volumes versus your in-market consumption this quarter?
Hermann Waldemer: Well, I think our inventory levels are okay in the Japanese market. I mean that was really the tremendous effort that we have made now during this period. I mean, congratulations really to our team in Japan, there. They have done a terrific job in difficult times for the country and for our employees there. Also, congratulations to our factories. I mean, 10 factories actually have been involved in the production ramp up. Our factory workers, production workers, actually have put in 200,000 of hours of overtime during the period, and we actually chartered the equivalent of 150 Boeing 747 cargo planes to bring 10 billion cigarettes into the market. So I think we are good from that side. I mean, if you go back to really what happened in the first half of the year, as you said yourself, the full year with all the moving targets that remains to be seen. But if you look at the first half of the year, then well, you look at the total market of 90 billion cigarettes, we had a share of about 25% January, February before the events. We have a year-to-date share of 34%, that's 9 percentage point difference or 90 billion. So I talk about 8 billion cigarettes here. You make your own estimate of the solid margins that we have in Japan. There was the airfreight. There were other costs. You deduct our corporation income tax rate and you'd probably come into the range of a net income impact of $200 million or something like anything in the neighborhood of $0.10 to $0.12 EPS.
Operator: Your next question comes from David Adelman of Morgan Stanley.
David Adelman - Morgan Stanley: Let me ask you a few other things about Japan, Hermann. Can you walk through with us how your in-market share evolved during the second quarter? Presumably it came down in general, correct?
Hermann Waldemer: That's correct. I mean, we would have started really April with a share of about 55%, May 40%, June, 35%, and the very latest I've seen in daily offtake share now, which is not the same basis, but just if you go to a couple of the important c-store chains then I still see shares slightly above 30% as we speak now. But these are not yet what I would call retention shares, that we have to wait a little later into the year.
David Adelman - Morgan Stanley: Okay. And then beyond having your product available in market, are there any other tactics that you've been employing to try to enhance your prospect of ultimately retaining consumers that are using and trying your products during this period?
Hermann Waldemer: Well, our teams there have really given full support on the distribution side. I mean our sales force they have been in the market day and night so both the sales, the promotion, the logistics departments, they have been working very, very hard. This I don't think is the moment where you need to bother the consumer with new variants. This is the moment that you have to support your broad array of very competitive variants, and we have seen really, as I said in the remarks, real strong growth in all brands but in particular, strong growth in Lark, a more traditional brand, if you like, but also in Marlboro, which is a very aspirational brand in the Japanese markets.
David Adelman - Morgan Stanley: And on that particular dynamic, are you surprised or are the people in the market surprised that the gains seem to be skewing to Lark? And do you think longer term, Hermann, does that have any implications on the limitations of Marlboro's longer-term share prospects for growth?
Hermann Waldemer: Quite frankly, if I look at what happened, what we have seen during the process, it gives me confidence in the growth prospects of Marlboro in that market.
David Adelman - Morgan Stanley: Okay. And then on Korea, am I correct, Hermann, that some of your competitors in that market have raised prices 4, 5, 6 weeks ago and to this point, you have not?
Hermann Waldemer: That's correct. I mean, when it comes to pricing, as you know, of course, I will not make comments on the future but I mean let's -- I'll give you some facts here. In that market, you are correct that there were price increases of BAT and JT in April and May. We have also seen the biggest competitor KT&G putting posters into the point of sales, informing their consumers that they will not raise prices. A third point would be that the government -- the Korean government is very concerned about inflation trends and as I was saying before, PMI seeks excise tax reform, a multi-year plan would be much more important. So things are a bit more complicated just to look at first glance. I would say sometimes in life, it's not enough to do the right thing. You also have to do it at the right time.
David Adelman - Morgan Stanley: Okay, and then, Hermann, one last thing. The arbitration process that you alluded to in Australia with respect to plain packaging, I just want to confirm the fact that, that action on your behalf does not preclude any other subsequent, different type of legal action that you would otherwise have the opportunity to take. Is that correct? It's not an either-or situation. You can ultimately, if necessary, pursue multiple different avenues of redress.
Hermann Waldemer: That is correct.
Operator: Your next question comes from Judy Hong of Goldman Sachs.
Judy Hong - Goldman Sachs Group Inc.: Just 2 quick follow-ups on Japan and then a question on Russia. So when you think about your guidance increase for the year, about $0.10 coming from Japan, that's basically all of the realization of what you've gotten so far and doesn't assume any of the market share retention going forward, so to the extent that you do get some market share retention, is that an upside in terms of your guidance?
Hermann Waldemer: Well, the $0.10 to $0.12 that I have just explained, I mean that is the first half of the year that is the actuals.
Judy Hong - Goldman Sachs Group Inc.: And then the way you played out in the quarter, so it looks like you actually capture more than sort of your fair share of the non-Japan Tobacco volume, which I guess you've talked about the BAT product shortage as well. But just in terms of how much you've captured in the second quarter, do you think that was a function of BAT not having as many products in the marketplace or just more brand equity on your brands that allowed you to take more share?
Hermann Waldemer: I would call it the optimal way of seizing a business opportunity which our folks have done and have implemented. I think that's really what it is. But to come back to the beginning of your question, when you look at the overall EPS guidance, then you have to remember that of course, at the very beginning of the year in February, we had a certain assumption in there for our business already in Japan, you remember there was a price increase and everything. And then when it came to the first quarter, we said that about half a year about $0.05 of the increase business guidance, the increase now was due to Japan and now in this quarter's call the majority of the new $0.10 business-driven increase is due to Japan. But not only due to Japan, I would also want to highlight really the terrific performance we have had in Indonesia and also by the way to the fact that if you exclude Spain for a moment, which is a special case by itself, that the total market size in the EU region is stable.
Judy Hong - Goldman Sachs Group Inc.: And just in terms of your guidance what are you factoring in, in terms of Spain situation with respect to your guidance at this point?
Hermann Waldemer: Of the Spain situation is of course in. It is again a moving target so as I said, the situation has improved. However, that being said, of course, OCI will still -- there will still be a substantial decline if you compare it to last year. That is factored in.
Judy Hong - Goldman Sachs Group Inc.: Okay. And then can you talk about Russia post the tax increase next year? You talked about it's a significant increase but you see that as manageable. Can you just elaborate on how you think that market will play out in 2012?
Hermann Waldemer: Well, I mean, let me start answering your question by looking at the economy because there is one point in there which I think deserves being mentioned particularly. Whilst real disposable income of the people in Russia, still last year was up net of inflation, about 4% is the estimate. Now in the first half of this year, it's actually down. Inflation is ranging between 9% and 10%. Disposable income therefore probably is down about 2%. At the same time, there were a number of price increases in the market. So whilst we have not seen really uptrading to mid and premium segment to the extent people have all expected it, say 8, 9 months ago, at the end of the day from a consumer perspective, they have uptraded. Because as I was saying in the remarks, well, our lowest price brand is now 21 rubles so prices have gone up quite a bit. In that context, we have seen last year an estimate, there is no absolute number, but a good estimate that the market was down about 2.5%. I expect something of the same nature this year and probably also going into next year but we will probably all have a better feel for that once you have seen the second half of this year.
Operator: Your next question comes from Roger Fujimori with Crédit Suisse.
Rogerio Fujimori - Crédit Suisse AG: My first question is on Indonesia. I was just wondering if you could talk about the industry volume outlook for the full year after the exception of 14%-or-so market growth in the Q2, which is well above the historical run rate, was it one 4 [ph], is going to persist in the second half.
Hermann Waldemer: Okay. I mean, in Indonesia we of course see the combination of a thriving economy, also a favorable demographics. The year-to-date number for the market is actually -- it's up 8.5%. The second quarter was particularly strong because it's kind of easy comps to the second quarter of 2010. The full year estimates we have right now would be 4% to 6% for the full year of 2011.
Rogerio Fujimori - Crédit Suisse AG: My second question is on the EEMA region. In your comments, you indicated a stable volume outlook in the region for the full year after a 3% decline in Q2, a 1% decline in Q1. Obviously, there was a distortion in Ukraine in the comparison base, but also it's interesting, I guess you can give a little bit more color on the drivers behind the improvement in the second half.
Hermann Waldemer: Okay. I mean, it's really the major impact of the Ukraine market there. That market was down quite a bit then. You really had difficult comps to the second quarter also of last year, where the trade ordered way more at the time because it was -- this was before the subsequent price increase, retail price increases in the market. So this is why I said that I expect already for the Ukraine kind of a stabilizing or a stable market almost in the second half that helps overall. And the other part would be that we are, despite the suspension of our business in Libya, we are also seeing volume growth in North Africa. And thirdly, I think we really have tremendous share performance in the Turkish market.
Operator: Your next question comes from Vivien Azer of Citigroup.
Vivien Azer - Citigroup Inc: Quick question on pricing, just to follow up. Given the strength of your pricing realization seemingly including and excluding Japan just relative to your going in estimates for the full year, were there any markets in particular where you were presently surprised by your ability to pass on price or to the price elasticity that you were seeing in certain markets?
Hermann Waldemer: Well, we have never any doubt that our pricing plans and expectations that we have put into our guidance from the very beginning, were realistic expectations. Then when you go into the year, well , it always depends on the market-per-market situation. This is government and budgetary expectations. This is the competitive situation as we judge it. And so we take our decisions on our market-by-market basis and as the actual results have shown, we have been very successful in there.
Vivien Azer - Citigroup Inc: Just to be sure. In terms of Spain, it seems as if the pricing activity that you're seeing from your competitors has subsided somewhat but we did see some more price cuts, I think, from one of your competitors on Monday. Have you guys announced any response to that?
Hermann Waldemer: No, we have not.
Vivien Azer - Citigroup Inc: Is it your expectation that the pricing movements will continue to subside in that market?
Hermann Waldemer: I will not comment on future pricing. I'm sorry.
Operator: Your next question comes from Bonnie Herzog of Wells Fargo.
Bonnie Herzog - Wells Fargo Securities, LLC: I just had a question about Marlboro, and if you could provide us an update on any new initiatives on this brand of the franchise that you might have implemented or will be implementing in the market regarding any new line extensions or packaging styles?
Hermann Waldemer: Well, there are many, many activities within the new Marlboro architecture whilst you will have seen one or the other variant there already in a market, that doesn't mean that the potential for rollout of innovation on Marlboro is already exhausted. To the contrary, there are many more possibilities to continue to successfull rollout of the Marlboro architecture and positive trends in many, many markets are a testament to this. A terrific success on several of the menthol variants, in particular in Asia, are probably a highlight in that context.
Bonnie Herzog - Wells Fargo Securities, LLC: And if you compare sort of what's in the market or what you put into the market during the first half of this year versus what you're expecting to put into the marketplace, will you have increased activity here in the second half?
Hermann Waldemer: No, that's a permanent activity throughout the year. We don't time that except that you probably don't do a new launch when everybody in the market is in the holiday period, that you will not do. But otherwise it's spread over the year.
Bonnie Herzog - Wells Fargo Securities, LLC: Okay, and then with regards to the EU, you mentioned you're seeing some signs of stabilization as it relates to the down trading pressure that's occurring throughout the key markets. Could you talk a little bit more in depth on your strategy to mitigate this down trading in some of these key European markets? Is it, for instance, strictly a function of narrowing the price gap? Are there other initiatives that you have implemented to possibly help prevent some of this from occurring?
Hermann Waldemer: Well, preventing from occurring, that is essentially related to tax structure that is then very often the question of how much -- how high this specific element is vis-a-vis the lower element and the minimum excise tax. The best news of the quarter there, I believe, came out of Greece. There we had a very substantial increase of the minimum excise tax. So I said before $0.50 a, rollover need, essentially at the very bottom of the market so it's always that. On the other hand, in many other European markets where the price gaps are not that large, there are always exceptions but in general, not that large so it's also about being competitive. At the lower end, that is pretty much the success of the brand L&M in the European union region, which, by the way, is the #2 brand in the region, and you know who was the #1 brand.
Operator: Your next question comes from Christine Farkas of Bank of America Merrill Lynch.
Christine Farkas - BofA Merrill Lynch: Two question. Firstly on Libya, and forgive me if you've disclosed this. Did you tell us how much the -- what was the impact from the disruption there on sticks?
Hermann Waldemer: Well, Libya is simply the point that we, of course, suspended our business immediately when the suspensions came into place. So year-to-date compared to last year, that is almost 1 billion cigarettes. Nevertheless, if you take a total of North Africa together, we are growing volume in the area but of course we have no volumes in Libya.
Christine Farkas - BofA Merrill Lynch: Just on Japan, you were very clear about the profit impact from the Japan factors in the quarter and I believe you've indicated that there was a bit of a boost in the pricing variants. Can you tell us how much -- of your $617 million came from that benefit of the country mix in the quarter, would it be in that number?
Hermann Waldemer: It will, of course, be part of that number but I will not single out the number for Japan only. That I cannot do.
Operator: Your next question comes from Erik Bloomquist of Berenberg Bank.
Erik Bloomquist - Berenberg Bank: I was wondering if you could come back to the European Union first, where it looks like the volume dynamic is very encouraging. Could you talk -- give us more color about what's happening in places like France and Italy and why we're seeing actually volume growth?
Hermann Waldemer: Okay, I mean, I would say let's go to 3 of the really big and important markets in the EU region, being Germany, France and Italy. And let's use year-to-date numbers, I mean Germany is up 2%, France is up 1% and Italy is stable or a little bit up 0.2% so that is, of course, a positive sign. We have decent tax structures in place. Improvement needs maybe in some, but overall, it leaves the effect of minimum excise tax systems are in place. We have had no disruptive excise tax increases. We have had price increases in all of those markets and nevertheless, we see a much improved trend to what we have seen before. So those are 3 examples. That's why really the total EU number is somewhat distorted really by the Spanish effect.
Erik Bloomquist - Berenberg Bank: And so in terms of consumer behavior, it's simply that people, if let alone, are happy to continue consumer -- I mean, is that something then that we, I think, can rely on going forward in your view?
Hermann Waldemer: I can't predict the future but it's good trends. It looks good because in Germany I gave you the number on manufactured cigarettes. At the same time, all year round, make your own is also up so overall consumption is up. It's not just not a move between the categories. It's more than that.
Erik Bloomquist - Berenberg Bank: Well, could you give us a bit more color on Poland? I mean it looks varied. Are we seeing something happen there like in Ukraine where the market is polarizing with an increase in the super-low? And what does that imply for an eventual increase in Polish profitability?
Hermann Waldemer: Well, I would not compare it to the polarization situation. In the Ukraine, it's different. On one hand, we see clear uptrading trends in the Polish market where our premium brands, Marlboro, but also L&M, really benefit from. At the same time you have very intense price promotions at the very bottom of the market and that's probably what's driving the growth there.
Erik Bloomquist - Berenberg Bank: And then in terms of Russia, have you seen competitors follow your price increases?
Hermann Waldemer: We have had recent reports from sales force which has seen packs of new prices from BAT in retail outlets with increases that seem to be comparable to the ones we have implemented.
Erik Bloomquist - Berenberg Bank: But not Japan's Tobacco International?
Hermann Waldemer: Yes, also.
Erik Bloomquist - Berenberg Bank: And then finally, on Turkey, that also appears to be a market that has renewed momentum. How do you see the market volumes evolving over the next rest of the year and then into 2012?
Hermann Waldemer: I mean the Turkish market really has taken a severe hit at the time of the excise and price increases that the market has seen. Turkey, typically, is a market that comes out of crisis quicker than others. That's actually, I would say, is valid for the entire economy and not only for the cigarette business. That's what we see again. It's improving there. Now what's still needed is, of course -- some work on the excise tax structure in there, and the ad valorem element is what I would call overproportional. But overall, we look into a more positive situation in Turkey definitely than what we have seen the year before.
Erik Bloomquist - Berenberg Bank: And so the impact of the public place smoking ban appears to be, if it ever had an impact, that's also waiting? Is that fair?
Hermann Waldemer: Well, that is included in the total numbers, of course, so this is also at max a onetime short-term impact but then you return to the overall underlying trends of the market.
Operator: And next question comes from Ann Gurkin of Davenport.
Ann Gurkin - Davenport & Company, LLC: I would be interested in your comments on projected overall volume growth rate for the emerging markets over the next 3 to 5 years. Is there any change there to your thought process?
Hermann Waldemer: Well, really, a percentage number, I don't think I can give that. But let me try to answer your question as good as possible at this point in time. I mean, the biggest market in there, clearly, is Indonesia. And that today is already the second biggest market in Asia after China. The 2 other markets in the world that would be bigger than Indonesia would be Russia and the U.S. and then it would be #4 in the world. So it's an important market. The economy is doing well. Demographics are favorable. I think we have a good chance to believe that this market is going to continue to grow. The same, I think, would apply to the Philippine market. I would say really same conclusions that, to our same underlying reasons for growth that I have just quoted in Indonesia, when it comes to mature markets, when it comes to Japan, well there, you need to give me more time to answer that question before the disruption that we have gone through right now.
Ann Gurkin - Davenport & Company, LLC: And then if I could just ask one more about the distribution you all have with China, any updates there in terms of volume or change in arrangements?
Hermann Waldemer: No. No change in the underlying arrangements. There's no need for a change in the underlying arrangements. We are very happy with it. It is, as you know, Marlboro production under license in 2 of the CNTC factories in China, albeit if today very limited volumes and it is on the international side, our international joint venture. So cooperation is going well. I believe both partners are happy with the development but nothing really new, new that I would have to report.
Operator: [Operator Instructions] And next question comes from Karen Lamark of Federated Investors.
Karen Lamark - Federated Investors: I've got a couple of questions. Going back to Japan, I want to make sure I understand your expectations around competitive restocking. Is it in Q3, you would expect both JTI and BAT to be fully restocked in terms of breadth and depths or not till Q4?
Hermann Waldemer: The full restocking and the availability of all products, i.e. all the competitive products as well is kind of as of now.
Karen Lamark - Federated Investors: And then separately, in light of competitive payout ratios and your strong cash flow, I just wondered under what conditions you might consider increasing your payout ratio? And if you have any kind of time frame under which you might consider that.
Hermann Waldemer: I think 65% payout ratio is a very good ratio and, quite frankly, I don't see a reason why that would need to change. In the international context, that's a very competitive payout ratio.
Operator: Our final question comes from Graham Tanaka of Tanaka Capital Management.
Graham Tanaka - Tanaka Capital Management: I just wanted to ask about the price gap in general and your comfort level where you are. I know there are so many markets and so many different dynamics. But in general, how much of a cushion or comfort level do you have in the price gap, at the low end especially?
Hermann Waldemer: Well, we want to get the price gaps right. We don't want cushions in there, we just want to get them right. In many places around the world, I think they are right. In some cases, they need correction. The best way to correct is, typically, via excise tax structure, i.e. in particular, via the tool of minimum tax because it's not only us who don't like down trading, it's also the governments that don't like down trading, be it the finance minister or be it the health minister as well.
Graham Tanaka - Tanaka Capital Management: So of what proportion of the markets do you think made you less comfortable with the price gaps?
Hermann Waldemer: The vast majority of our markets. We have addressed that problem long before and we are in pretty good shape. Otherwise, we wouldn't be able to generate the pricing variances that we are generating.
Operator: This concludes the Q&A portion of our call. I will turn the floor back to Nick Rolli for closing remarks.
Nicholas Rolli: Well, thank you very much for joining us today on this call. If you have any follow-up questions, you can contact the Investor Relations team here at Lausanne. Thank you and have a great day.
Operator: Thank you for participating in today's conference call. You may now disconnect.